Daniel Wolfe: Welcome to 180 Degree Capital Corp's Third Quarter 2021 Financial Results Update Call. This is Daniel Wolfe, President and Portfolio Manager of 180 Degree Capital. Kevin Rendino, our Chief Executive Officer and Portfolio Manager, and I would like to welcome you to our call this morning. All participants are currently in a listen-only mode. Following our prepared remarks we will open the line for questions.  I would like to remind participants that this recall is being recorded, and I will be referring to the slide deck that we have posted on our Investor Relations website at ir.180degreecapital.com under financial results. Please turn to Slide 1 that contains our safe harbor statement. This presentation may contain statements of a forward-looking nature to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the company's current beliefs, and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the company's filings with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the company's business that could affect the company's actual results. Except as otherwise required by federal securities laws, 180 Degree Capital Corp. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to turn the call over to Kevin.
Kevin Rendino: Thanks Daniel, and good morning, everyone. Let’s start on Slide 2. We had a bit of an opposite quarter. Most quarters we have had since 180 came into existence showed great public performance and sluggish private holdings performance. This quarter our public performance was down by $5.2 million or 6.6% return, while we had a markup on our private holdings of 2.9 million.  On the public side, we had weakness in Synchronoss, Maven, Quantum, Armstrong Flooring and Potbelly. Good performance came from our sponsored SPAC Parabellum, PFS Web and Lantronix. On the private side, we had markups in D-Wave and Nanosys and decreases in HALE and Seaport. All in all our NAV declined by 2.9% less than the drawdown in the Russell Microcap Index, but not our best quarter by any stretch of the imagination.  As I stare at a $7.15 share price, I want to point out that as of the close last night, we had nearly 80 million of cash and liquid securities, given our strong start to the fourth quarter that equates to $7.63 per share. We also have carry from our SMAs that if this was the end of the year, we have close to $8 a share in cash and liquid securities.  At the end we'll show are some of the parts scenario later in the presentation. But we have now entered the theatre of the absurd, in my opinion as our share price is now $0.50 less than our liquid portfolio, not taking into consideration the fact that we have over $3 a share and private marks. And while we don't have a monetization to share with you today, we do remain optimistic that we are closer to news from our portfolio any time this year. That isn't a promise, it's our best read on what's taking place with some of our holdings.  On the next slide, we show the before and after of our NAV over the period of time that Harris & Harris ceased to exist and 180 was born. Despite the slight decline this quarter our focus on public market equities, and the subsequent performance that we have generated from our microcaps have allowed us to grow our NAV, after years and years of decay in our book value.  On the next slide, we highlight the trajectory we have seen from our cash and liquid securities. We saw a decline this quarter from 78.7 million to 74 million. But as you can see, given the start to this quarter, the number is now close to 80 million, which would be a record high.  Perhaps the chart on the next slide will never change until our private portfolio is gone completely. But I would note that the discount to our current a NAV is literally the same as it was when we arrived and when the private portfolio represented nearly 75% of our balance sheet assets. I think most of you know I'm fairly realistic and honest in my evaluation of the prospects for the companies we own. When we start researching a company, we start by saying whatever the company is trading at today is the world's determination of what that business is worth.  It is our job to research the business, find information and catalysts that the market is not paying attention to, and then have those catalysts play out. If that happens, hopefully the price will change to the upside. We always assume the market is right as a starting point to any of our work. In the case of TURN, in my humble opinion, I don't think the market could be any more wrong with valuing our business. As I said, we're now trading at nearly a 10% discount to our cash and liquid securities. That seems ridiculous.  On the next page, we show our normal sources of change in assets for Q3, starting with a book value of $10.68. As I said we had an opposite quarter, we actually showed a $0.28 gain from our private holdings, but a $0.50 decline from our public holdings. We had $0.09 of expenses which includes a bonus accrual for our persistent year-to-day performance for 2021. We end the quarter with a $10.37 book value.  On the next slide, shows our year-to-date sources of change in our NAV. For 2021, we've generated $1.51 of gains from our public portfolio, $0.05 loss from our privates, and after deducting expenses, we show $1.09 increase in our book value from the start of the year.  On the next slide, we show our performance since we started. We've generated almost $6 a share in gains from our public market stock picking. That's the result from the performance we've generated from our strategy of investing in public equities with a microcap activism focus.  The next slide shows our quarterly performance for each of our individual holdings. As I said, we hit a rough patch this past quarter and had a decline of 6.6% on a gross basis. In some cases like Quantum and Armstrong Flooring, supply chain issues were clear headwinds, and real causes for weak fundamentals and share price declines.  For others, namely Synchronoss and Potbelly, there was no real news causing the share prices to the decline. As always is the case with us, if our thesis remains intact, we will always look to add on weakness. In the case of Synchronoss and Potbelly, we have done just that.  To get more specific about our holdings. Some of our holdings were down for real reasons, as I said, but others were simply just down. So let's review. On Synchronoss, the stock declined 33% this quarter. During this quarter and following a successful reshaping of its balance sheet that we helped the company guide towards in Q2, the company reported earnings that were better than expected and reiterated guidance for the full year.  85% of the revenues of Synchronoss are recurring, cloud and digital revenues. We bought another 563,000 shares in the quarter at $2.33. You will see the company just reported this week and had Q3 which showed another great quarter and the company raised their guidance for the year. This was an example in our opinion of a stock trading off for no good reason and we took advantage of that.  Maven declined in the quarter. The company is now current on its filings. They aren't up listed yet and that has been a painful process to watch from the sidelines. It will happen it's just a matter of time. Jim Cramer has left the Maven. While Jim's business used to be the majority of the Street’s business, Maven is roughly a $200 million to $220 million expected business in 2022 from a revenue perspective, and his revenues are just 10% of the Maven’s.  Everyone is replaceable. He didn't want to be at the Maven and Soviet . The company always needed to diversify away from Cramer anyway and we expect the CEO, Ross Levinsohn will bring in talent from the outside to replace Jim. Despite Jim's departure, our hope is that the subscription decay from his business will be far less than the compensation high as it was, will be far less than the compensation paid to Jim. To that end, it's possible the income statement today is better off.  Quantum was down 25% in the quarter, the company's Q2 results continue to reflect supply chain issues with tape drives and the company provided guidance below expectations. Management did indicate during the call that they expect the supply chain issue to abate coming out of Q3 and be back to normal levels by the end of 2021.  While this was a real short-term headwind, our longer term thesis hasn't changed one bit. We understand why the stock sold off, but we view it as temporary. We purchased 353,000 shares at an average price of 547. You see last week the company reported better than expected earnings, gave better guidance and the stock is now over $7 per share.  On the other hand, Armstrong Flooring declined 49%. Like Quantum they also have supply chain issues. However, unlike Quantum we are less convinced this management team was prepared to manage through it and as a result, we sold half of our position last quarter at $5.50. The company just reported last week and I must say reported some of the worst results I have ever seen from a public company. They reported over $160 million in revenue and had an $18 million EBITDA loss.  While we understand the environment the company is facing. They have grossly mismanaged their business attempting to navigate their way through, which is why we have not added to the name despite the steep drop. We are currently trying to figure out if we want to ramp up our activism at this stage. While some of our holdings, Quantum Potbelly Synchronoss are greater than 10% of our assets. It should be noted that Armstrong Flooring is just a 1.65% position. But what a terrible job that management team has done.  Potbelly, lastly declined 14%. What happened this quarter? They reported Q2 results that showed continued improvement in the business and last week they reported a Q3 that highlighted the same progress. Perhaps the Delta variant scared – caused the stock price to decline in Q3. But judging from Potbelly’s results it did absolutely nothing to hinder the business.  We think overtime the stock will double again and show 10% EBITDA margins. We are 100% committed to remaining shareholders and believe the management team will continue to execute. It's a rock star management team. Again, we believe the stock is down for no reason and the result we've been buying.  On the positive side of the ledger, Parabellum is the SPAC we anchored run by the former team at Adesto. They completed an IPO in September, raising $140 million. We own 729,000 shares of Class A stock and 2.5 million warrants for the purchase of Class B common stock of Parabellum at $11.45. The SPAC has 18 months to complete an acquisition. And as members of the board we are actively engaged in the search process for a merger candidate.  PFS Web increased 75% this quarter on the back of the sale of its LiveArea subsidiary for $250 million, which was well above the price that exceeded our estimated multiple of revenues of 1.8 to 2.5 times. We did sell 368,000 shares in an average prices of 12 post the sale.  We closed our position in Sonam. Sometimes you get them right and other times you're wrong. I've said this a million times. But if you're successful in the investment business, you'll be right two out of the three times. Just make sure the one time you're wrong doesn't outweigh the two times that you're right. In Sonam’s case, the long-term story changed, we completely lost conviction and we sold it.  Slides 13 and 14, show our performance for each and every name we have owned since we started. On Slide 13, you'll see despite a 6.6% decline this quarter, we were up 27% on a gross basis, or 29.3% if you include the carried interest from our SMA. As of last night our performance was plus 35% and plus 38% given the close of prices last night. Slide 14 shows a 373% growth return since we started or nearly a 45% IRR from our stock picking in the microcap world. The next two slides depict not only our batting average for each and every name that we've owned, but our slugging percentage. The first slide shows the percentage gain or loss and Slide 16 shows the dollar amount. As you can see, we've had many more winners than losers and more importantly, the returns from our winners have been far greater and outsized versus the negative returns we have taken from our losers.  As an example, while Sonam felt like the worst decision that we've ever made, we lost 1.3 million on an investment of 4.5 million. That pales in comparison to the gains we've achieved in names like Adesto, Quantum TheStreet and Potbelly. The next slide is a composite of our public market stock picking versus the industries. What you'll see here was a weak quarter in Q3, a pretty good year and great three and five year returns.  Slide 18 shows the remaking of our business since we started, whereas 73% of our balance sheet was in privates, when we started, it's just 33% today. The goal as we've stated from day one is to take our privates from wherever weight they are today to a zero weight and have 100% of our cash and liquid securities coming from the Public’s.  And as I've always stated, we will monetize any portion of our private portfolio if the time is right and if the price is right. We have had people bid on the portfolio and we have simply told them to go away that their bids were simply insufficient. Simply put, we do not have to sell a thing and we will not unless it makes economic sense for the 180 shareholders. But one day we will have a 100% of our balance sheet in cash and liquid securities. Daniel?
Daniel Wolfe : Thanks Kevin. Please turn to Slide 19. I'll give you a little bit more detail on Parabellum. As we mentioned last quarter 180 was pursuing SPAC sponsorship opportunities with who believe we believe our value added partners are management teams that have demonstrated a core competency in sourcing merger candidates. The first of these efforts is Parabellum Acquisition Corp., which trades under the symbol PRBM.  We are thrilled the company had a successful IPO this past quarter and raising 143.75 million. 180 was the lead investor in this sponsor and I serve on the PRBMs Board of Directors for 180. We are excited to be working on this effort with the founders of PRBM, Narbeh Derhacobian and Ron Shelton, the former CEO and CFO of Adesto Technologies Corporation.  With the IPO behind us, Parabellum is now on the hunt for target companies that have unique technologies and business models enabled by or an actively engaged in the Internet of Things transformation. 180s Holdings a Parabellum are currently owned through the sponsor Parabellum Acquisition Holdings, LLC. And the fair value of these holdings as of the end of the quarter was 6.3 million on a cost basis of 2.7 million.  In addition to Parabellum, we continue to work with another partner in connection with exploring a SPAC sponsor group investment opportunity. Although, we cannot assure you when or if such investment will ultimately be consummated. We look forward to being able to discuss these continuing efforts in more detail in the future.  Please turn to Slide 20. For the quarter, our private portfolio led by D-Wave Systems and Nanosys increased in value by 2.9 million or $0.28 per share. The largest decreases in value occurred in HALE and Seaport Diagnostics, both due to financing risk. The sale of asset held by Black Silicon Holdings yielded a distribution to 180 of approximately 1.1 million that was received in the quarter.  In almost every shareholder letter, as Kevin just mentioned, we stayed, while we desire to shepherd our existing private portfolio to exits or explore opportunities to sell our positions, we have the luxury of not being forced to sell at any time. Just because you haven't seen a monetization of the quarter, it doesn't mean we haven't been actively working on it.  And also as Kevin said and remaking our balance sheet over the past four years, we don't have to sell anything. And today, we only have 16 privately held positions, but really only seven that matter. And those seven private holdings comprise 91% of all the private assets. Our hope is that the SPAC market has made the opportunities for further monetization’s more likely than at any time since the start of 180 in 2017.  Please turn to Slide 21. As we've noted in previous letters, we have – in previous calls, we have dramatically reduced our cost structure and our new strategy. Just to refresh as we always do, in 2016, before we changed our investment focused management team, our operating expenses, excluding stock based compensation and interest on outstanding debt averaged approximately 1.3 million. For Q3 2021, our operating expenses equaled approximately 100,000.  Given our persistent and outsized performance for the full year of – for the year-to-date through to 2021 the compensation committee approved an additional accrual of approximately 200,000 for the expected bonus pool at the year end of 2021. This pool will fluctuate based on the total performance that is determined at the end of the year, we will maintain a lean cost structure and focus our expenses on activities solely designed to enhance our investment performance, or to increase our revenues from managing outside capital.  Please turn to Slide 22 and 23. We continue to anticipate the reductions in our operating expenses as a percentage of net assets will be based on growth in our net assets rather than further reductions our operating expenses. We remain committed to treating every dollar of shareholder money with the utmost care and consideration. As we always say, and we continue to repeat, it is much easier for us to grow in NAV when the expense hurdle rate is where it is today.  I'll now turn the call back to Kevin.
Kevin Rendino : Thanks Daniel. Finally, we've done this chart for you since we started and for the first time since we started the market, let alone recently ascribing a woeful value to our private portfolio given the amount of capital we have in our liquid portfolio, we now have a situation where the private value is actually being valued at a negative $0.35 share, or a negative 10% relative to our book value. If anyone on this call thinks it makes any sense that given our results over the last few years, we should trade at a nearly 10% discount to our cash and liquid securities, I encourage you to let us know so we can have that debate.  As you've seen this management team and board invest in term with after tax dollars. And there's no reason to think that won't happen again unless the valuation reflects what we think is a much better representation of our business. A stock price of $7.20 with cash and liquid securities close to $8 with $3 plus of book in privates with hopefully some good news soon in the privates is a value that I will run to and I'll run to pretty quickly once this quarter ends and we're freed up again. So that's that. I don't like to be overly promotional. But as you know, we value investors. And I can think of no better value that I'm staring at right now than TURN stock.  Thanks. Let's open this up now for questions, Daniel.
Daniel Wolfe :  Hi, Adam, please go ahead.
Adam Waldo: Good day, Daniel. Good day, Kevin. Thank you very much for taking my questions. 
Kevin Rendino : Hey. 
Daniel Wolfe : Thanks for joining. 
Adam Waldo : I wonder if we can start at a high level, obviously, you guys continue to be putting your money where your mouth is in terms of good shareholder alignment, purchasing the stock in the open market, the valuation discount is as wide, or wider than has been in any point in time. As you know, since the liquid portion of the – liquid securities portion of the NAV has gotten to this level other than maybe March, April of 2020. Are you guys contemplating with the pandemic effects on business receding? Are you contemplating a more proactive investor relations posture as we go into 2022? And if so, what components are you considering there?
Kevin Rendino : So we've recently signed an agreement with a third party distributor that not only allows for a new party to help us raise capital, but they've also been a consultant to us. So the early parts of our relationship has been them trying to understand us, learn about us, and figuring out ways where we can go to market with thought pieces, white papers, videos, refreshed marketing presentations and decks. So those are Adam, things that we are working on currently. And we expect you'll see more from us, rather than less going forward.  We don't – look I do this – some of the parts exercise for everybody every quarter. I'm not a promotional person. But I'd like to state facts. And I'm pretty transparent about our business. And I don't – I'll never understand how our stock price trades below our cash and liquid securities now. It makes no sense to me. And I'm going to tell everyone that because I think our share price represents wonderful value. So we're going to – we are working hard. Rob Bigelow's engaged on this topic. He's our Head of Funds. He does all the marketing stuff for us.  And we're actively engaged towards making sure that we've got – that we're out there more than we've been. Let's put it that way. Again, I'm not a promotional person nor is Daniel. And we'd rather let our performance speak for itself. And we think we've done that over the course of last four and a half years. But I don't want to have our head in the sand and think the stock price doesn't matter, because it does. And so of us being out there and being more proactive, and having more thought pieces those are things that we will be doing. You could – you can count on us for doing that.
Adam Waldo : With more proactively out there Kevin, also include virtual conferences, virtual Non-deal road shows or even live conferences as those start to normalize more as we go through 2022.
Kevin Rendino : Yeah. I mean, Adam, the problem is that the people that we talk to every single day, institutional buy side folks sell, they don't – fidelities not buying return. Institutions don't buy closed end funds, retail investors buy closed end funds. So it's very different. If we can go to the B. Riley conference and if you have somebody there from Alliance, or Janis, they're not going to be buying TURN with the funds. It would be the portfolio managers might buy TURN. So it's a very different process and a very different shareholder base. And quite frankly, we've got to figure out how – and maybe part of the problem is our distribution.  We've talked about that endlessly on this call, and our board is flexible. And the conversations are fluid at the board meeting. Should we have a dividend yield? Are we supposed to be buying back stock? We’ve talked about all these things. We're getting some girth now on our balance sheet. We started with what, 12 million in cash and we get 80. So we'll have some flexibility here over the next four years to potentially have – to potentially put ourselves in a situation where we can have some distributions also. So it's all being contemplated.  If you have any specific ideas of what you think we should be doing, let us know. Maybe we'll have a Twitter account and we could talk about the markets, the way other microcap investors do, and do it in a more institutional way than simply promoting what you're owning, or promoting your own stock. I don't want to do that. And you guys know that's not – it's not who we are as a management team. We just want to – we want to go out and do our thing, and have the results speak for themselves. But we'll do more. As I said.
Adam Waldo : No, appreciate that detail. If you'll permit me, a couple quick questions on the private portfolio. 
Daniel Wolfe : Sure. 
Adam Waldo : So with respect to Petra, obviously, you're carrying at the end of the September quarter at more or less cost, and the cost – or the carrying value is about 10% ish of the potential nominal value of the payments you could receive over time. So do you – is the underlying situation such that we might expect a markup in the carrying value here into the year end? And what visibility do you have on potential milestone payments to you all over the next six to 12 months.
Daniel Wolfe : So just to be clear, so the way that the accounting works is that it shows cost. But that's just the value that was of the distribution on the date of when we receive the potential rights to those payments, upon the sale of Petra. The valuation is derived, looking through all of those milestone payments and assessing probabilities and potential timeframes and things like that. What I'll say is, it's – as is always the case with these potential future milestone payments, be it Petra, be it – we still have some from BioVex. BioVex was acquired back in 2011. The timeframes of these are highly uncertain. And in terms of when and if they occur they’re within big companies that we have very limited visibility to. That said, do we think that there's favorable potential for at least seeing something from that. Yeah, timeframe I think is uncertain.
Kevin Rendino : The first milestone Adam is, set up that they just have to get the drug to Phase 1 testing. They don't have to even have it approved. They just have to start the test, start the trial, Phase 1 trial. So we try dealing with a big pharma company on a product that for them isn't a COVID vaccine in terms of its size. It's very hard getting information out of these companies. It really is. We try our hardest, but some of them are – some of these drugs are buried in their queues and caves. Because they're so small, but we would expect, at the very least, I don't know why they would have bought the business if they didn't anticipate starting a Phase 1 trial. And there's a milestone payment attached to that, in and of itself. 
Adam Waldo : Okay, thanks. Then on AgBiome, obviously, you're sitting on based on the September coordinating mark, you continue to sit on over four bagger there, and they raised the Series C round in the late summer. I think it was 116 million. Obviously, you probably are not going to comment on this, but really surprising they're not pursuing the IPO or SPAC market at this point, given the products they have in market and in the pipeline they have. But do you have a sense for what the kind of growth plan looks like there for the next couple of years around which they raise the Series C that you can comment on?
Daniel Wolfe : It's tough, we really can't comment on specifics, but what I would say is they have their first product, it's in the market Howler, it's gaining traction, and they have a number of other products that are there and are being in the pipeline being commercialized. I think that AgBiome is a big story and a big idea, not just with the initial products. Its how these scale. It's how they work with partners, they’ve big partnership with Genective and a number of other ones that have been publicly announced. And so it's a big story. But these things do take time to play out. It's not a couple of year type of thing. It's over a longer period of time, but they're making progress along that path. 
Kevin Rendino : Yeah. So have we seen slide decks and investment decks and aware of their growth? Yes. Are we allowed to discuss that in a forum like this? No. The goal here is not to go to jail. So it's a growth business. The other thing I'd say is and Daniel’s, right. First of all, many of our companies have been around forever, have been around for a long time, so many of them are getting to the point where they're at least mature and seasoned.  The SPAC market is the SPAC market. And you've seen SPACs, like visit InQ, merge with artificial intelligence companies at staggering valuations. And we know that their business is, in the particular case of InQ, those business is some of the companies that we own from a valuation perspective. So just because AgBiome isn't a $1 billion business tomorrow, doesn't mean that it can't be a $1 billion SPAC tomorrow. And so there's a reason why I've been more adamant in saying that we think we're getting closer to some news in our private portfolio than any time since I've been here.  And it's because of the amount of capital that's been raised in the SPAC market. It's knowing that many of our companies, hopefully will want to take advantage of that. And we'll see how that plays out. It's frustrating for me to get a question like this Adam, from you, and not being able to answer your question, just, I can't do it. And it pains me to not being able to answer any questions, and it's just the reality of situation, we just can't. 
Adam Waldo : No, I totally understand. 
Kevin Rendino : Yeah, I know you do it. Look we get – 
Adam Waldo : I don't want you guys going to jail.
Kevin Rendino : Yeah, from time to time – it's funny, because we'll be sitting at our desk, and all of a sudden, some secondary firm that buys private portfolios will reach out and call us. And we're like, where did that one come from? And then you realize the reason why they're – this is what they do for a living. And they realize that maybe one of our holdings is in the news. And they think there's going to be news on it or something like that. And so they reach out, and they're like, maybe we could feel that business from 180 or something like that. So I just think if any of our holdings are not exploring the opportunities to IPO and SPAC in this market, then they're doing a terrible disservice to their shareholder base. And we would be really disappointed, and I don't really think that's the case. So we'll see how it all plays out. AgBiome is a very large component of our private portfolio. It's roughly 40% of the total. And so we want that one to work out, as obviously, everybody knows.
Adam Waldo : Well, look, I mean, you have a rock star executive chairman there, former CEO of Bayer’s you have Blue chip Venture Investors, Fidelity Ventures, Kanco, T. Rowe among the others in there. And presumably those folks are getting this kind of advice, and you guys can participate alongside. So thanks for taking my questions. 
Daniel Wolfe : Thank you. 
Daniel Wolfe : Hi, please go ahead.
Unidentified Analyst : Yeah, Kevin, I think it's me Al Sham , so think I'm up. First of all, I mean, I've got 45 years’ experience in the investment business, and I just really believe the strategy and the approach that we're taking is dead on. It is absolutely right. It will produce results, we just have to be patient. So, in fact, it has produced results already. Number two when you talk about the valuation of the company, we should also emphasize, there's no debt at the corporate level. So that's important to know. My question is this. What is our thinking with respect to Maven, how do you see the company getting out from under the stigma that it's been under and attracting some real investor attention?
Kevin Rendino : So Al, first of all, great to hear your voice. Thanks for checking in here. And thanks for your support over the years. Maven has got all of its financials finally current. It took about two years longer than we would have liked. We actually were the beneficiary of it taking two years too long because then it was a December, this was other numbers have done by December of ’19. Think that's right. And we received penalties. 
Daniel Wolfe : Over $800,000 worth of penalties that will either be paid in cash or shares and will come to us. 
Kevin Rendino : To us for there being delayed or having delayed financials.
Unidentified Analyst : Now, is that reflected – Kevin, is that reflected in our net asset value?
Daniel Wolfe : It is. Yeah, it's held as a receivable on our balance sheet. But it – whether or not it'll be shares or cash is yet to be determined.
Kevin Rendino : Right, that’s the point. So with receivables there, we don't know if it's cash or stock. But they’re current. So they have the opportunity right now top list. They’re in the queue? Daniel, is there anything you want to share on that before we get into the business?
Daniel Wolfe : Yeah, I mean, I think that – look there's – yeah, there's a lot of steps that you have to take. I mean, if you look at Quantum and what they had to do, as well, just to get up listed, once they got their financials up to date, it does take some time, we're hopeful that it'll be sooner rather than later, but it will come on.
Kevin Rendino : So Al the – it's a real business, as I said, in my earlier remarks, it's hopefully expected to – we used to be board observers. So we know the business intimately, we’re no longer board observers. So $200 million to $220 million revenue business next year. It's probably got about that enterprise value of currently, maybe a little higher. It's a business that – it's a licensed business. They basically will take the digital assets of some of these gigantic media companies and run the back end.  So they've Sports Illustrated, they are Sports Illustrated, they run the Sports Illustrated business, for the ABG Group, which is a licensing company. Obviously, they own The Street’s assets. They have other assets, like history and biography, they recently bought a company called The Spun, which is doing quite well. It's run by Ross Levinsohn, who was a day away from becoming the CEO at Yahoo. He’s had jobs at Fox and The LA Times and the rest. He was put in place last summer, and is doing a very effective job.  So the question is, they actually report their earnings on Monday. They're doing their first earnings call on Monday, ever. They're starting to do conferences. And we tell Ross all the time, just because you're not up listed doesn't mean you shouldn't – you should start talking to people and act like you are public. And so they're taking our advice there. So the numbers will get out, the news will get out. At some point they'll be up listed, and then we can all value the business based on how we want to value it.  For the most part, these kinds of businesses should have EBITDA margins, north of 10%. No reason to expect that this company can't. And sort of it – at the end of the day, they're valued on revenue. And one of the biggest competitors, I think, trades at four and five times revenue. So it's been hairy to say the least. We got involved at a low price, because the company needed capital. It's been a shaky couple of years for the company. An advertising business, going through – a business that relies on advertising going through a pandemic. So stay tuned to Monday, that'll be the first earnings call, and they're now graduating to the big leagues, and you'll start to hear more and more from them.
Unidentified Analyst : Okay, just one other thought, Kevin. So let's say some of the – so you've mentioned you've had offers on some of the positions in the private portfolio. I mean, if we could get, let's say, 80%, 85%, of what you think that position is worth, and then turn around and reinvest that money in the public market where things are selling at 40%, 50%, 60% discount what you think the business is worth, maybe that's a good trade, maybe we don't maximize the value on the private side, but we can pick up great opportunities on the public side. Have you given that some thought?
Kevin Rendino : We've. Yeah, that came in over the transom today, we would hit the bid. But so yes, we're in line with your thinking. 
Daniel Wolfe : Secondary buyers just to put in perspective of venture portfolios typically bid and come in at sort of the $0.20 to $0.30 on the dollar. A high bid is usually maybe $0.50 on the dollar. And so those were the issues that we've been facing those discussions.
Kevin Rendino : Yeah. So this is what happens, somebody will come in, they'll offer us $0.40 on the dollar. We'll say we don't – we have no interest in talking to you. They'd be like, well, that's all it's worth. We'll be like, well, we're not selling it to you. So that's the end of the conversation, and then they'll still try and convince you. And I'll ask – I’ll say – we'll say to them, what part don't you understand? Like, we have to find the – what we – what I think is easier to happen is if you can get some of these companies to almost back themselves, and the privates know that. Where they're valued on our business, given the OPM, we would trade them at a slight discount to the reality of the SPAC price, let's say, for example, and so if you can find one of these guys to see the news on one of them, then maybe you can sell an individual position at a price that makes sense out for you and I and every one of the other shareholders, but – so $0.85 on the dollar, yeah, go find that – go find the secondary buyer and will value – 
Daniel Wolfe : Al, send him right our way, we’d make that happen. 
Unidentified Analyst : Okay. Now, finally, Parabellum. I mean, that looks like a very small capitalization company, what 35 million or so? I mean, is that – does that really have enough capital and muscle to do any good? 
Kevin Rendino : No.
Daniel Wolfe : Yeah. Parabellum raised 143.75 million. And so it's targeting business that we'll have call it an enterprise value somewhere between 300 million and 600 million. And our one businesses that are either generating EBITDA today or have visibility, close visibility, generating positive EBITDA, sometimes even positive cash flows and earnings. And so, these are not – these are going to be more like what we invest in at 180, not the – they have 5 million in revenue today and supposedly growing to 600 million in revenue in 2026. That's not what we do. That's not what Parabellum is focused on. But they have a really nice slug of capital that I think brings real interesting opportunities to some good companies that are looking to access the public markets.
Unidentified Analyst : Okay. Well, just one last comment. You know, I was in Harris & Harris Group back in 1997, 98, when it was selling for a buck and a half, $2 a share. And nothing was happening with the stock. And then along came the internet bubble, and the thing traded up to 36 bucks a share. So at some point in the cycle, we're doing the right thing, we know that the strategy is great, we're going to get recognized, we've got the cash, no debt, we can survive pretty much anything. Our day will come, we just don't know when it's going to be. So thanks. We're glad to be a part of the team.
Kevin Rendino : Appreciate that. The good news is we've since we started the share prices is up close to 100%. But we want it as I've said this many times now, I have no reason to think that in the next four years, we can't get to a $200 million balance sheet and close to a $20 stock. I mean, that's – I'm not here for any other reason other than to grow the stock price. Otherwise, we all have other things to do. And that's my goal. And so I laid it out there for people, I guess at the end of ’22, ’23, ’24, ’25 or beginning in ’26, $20 a share and $200 million balance sheet. That's the goal. 
Unidentified Analyst : Okay, great. Good goal.
Daniel Wolfe : Thanks Al. I am not seeing any other questions in the queue. 
Kevin Rendino : Well, thank you, everyone. As I said, at the beginning, it was a challenging quarter for our public stock picking. You could read all about that in our shareholder letter. Having said that, it's against the backdrop of actually being up 36%, 35% to 36% as of the close of last night, so a weak quarter in the midst of a fairly good year. For us we look forward to sharing with you our Q4 results sometime in the beginning part of 2022 and hope everyone has a great holiday season and a happy Thanksgiving. Thank you so much. 
Daniel Wolfe : Thank you everyone. You can now disconnect. 